Operator: Welcome to the TC Transcontinental Third Quarter 2019 Results Conference Call. During the presentation all participants will be in a listen-only mode. Afterwards, we will conduct the question and answer session and instructions will be provided at that time. As a reminder, this conference is being recorded today, September 5, 2019. I would like to turn the conference over to Yan Lapointe, Director, Investor Relations. Mr. Lapointe, please go ahead.
Yan Lapointe : Thank you, Gabriel, and good afternoon, everyone. Welcome to TC Transcontinental's 2019 Third Quarter Results Conference Call. The press release and the MD&A with complete financial statements and related notes were issued earlier today and are available on our website at tc.tc.  With us today are TC Transcontinental's President and Chief Executive Officer, François Olivier; and Chief Financial Officer, Donald LeCavalier. Before I turn the call over to management, I would like to specify that this conference call is intended for the financial community. Media are in listen-only mode and should contact Nathalie St-Jean, Senior Advisor, Corporate Communications, for more information or interview requests. Please be reminded that some of the financial measures discussed over the course of this conference call are non-IFRS. Please refer to the MD&A for a complete definition and reconciliation of such measures to IFRS financial measures. In addition, this conference call might contain forward-looking statements. These statements are based on the current expectations of management and information available as of today and they involve numerous risks and uncertainties, known and unknown. The risks, uncertainties and other factors that could influence actual results are described in the 2018 annual MD&A and in the latest Annual Information Form. I would now like to turn the call over to François Olivier.
François Olivier: Thank you, Yan, and good afternoon, everyone. The quarter marks another step as we continue to progress in our transformation. We continue to optimize our cost structure, offset lower volume in printing to realize synergies and in order to improve margins and packaging.  Following the recent announcements, you can see that we have been active in managing our portfolio and we believe that these transactions will create value for the company. The sales of our Fremont, California facility to Hearst is bringing significant cash allowing us to accelerate the deleveraging of our balance sheets and aligning with our strategy.  As for the acquisition of Trilex, it will nicely complement our activities in Latin America enables future growth in that region. We will also continue to be active in managing our portfolio in order to be ready when opportunities arise.  Overall, our third quarter results reflect many of the same trends we saw in the first half of the year. Let me highlight some of the key factors that contributed to our results. In the quarter, the packaging sector accounted for 54% of our consolidated revenues and 44% of our adjusted EBITDA.  Revenues in packaging were softer in the quarter due to the anticipated reduction in volume for our Consumer and Pet Food segments as we have mentioned on our last call and to a temporary impact of a new European legislation in our Agricultural segment in Latin America. In both cases, we expect to see growth next year.  In terms of profitability, we continue to be very pleased with the synergies we realized from our Coveris acquisition and their impacts on our packaging margins in the quarter. Adjusted EBITDA margin continues to improve moving from 11.7% in Q1, 12.5% in Q2 and now 13.2% for this quarter and we expect further improvement over the next two years.  In addition to our focus on margin improvements, we are also setting the foundations for growth. First, we have a solid portfolio of award winning products and we will continue to innovate to ensure we remain ahead of our customer needs.  Second, we are also ensuring that we have the right sales team and processes to exceed our customers’ expectations and to win new ones. For the last quarter, we continued to renew multi-year contracts with major customers giving our business long-term stability.  Overall, we are confident about our investment thesis for the packaging sector while revenues are lower than what we would have liked, margins are trending upward towards our target and we remain very bullish on flexible packaging as a significant engine of future growth.  Turning to our Printing sector, the softer results we saw at the beginning of the year continued in Q3 essentially due to higher than expected decrease in print flyer’s revenue having direct impact on our profitability.  Recently, we took actions to adapt our cost structure to volumes and protect our profitability and our platform optimization initiatives are also progressing well. The first state-of-the-art press from our former plant in Fremont, California is fully operational in Montreal and the second one in Toronto will gradually be put into service in the next few weeks. The additional capacity from these presses will allow us to complete the closure of our Brampton facility at the end of this year as planned. These actions will have a positive impact on our profitability in the fourth quarter of this year with the full impact flowing in 2020.  Recent focus groups with consumers and discussions with our clients continue to confirm that our retailer-related service offering remains a highly relevant and effective marketing tool for Canadian retailers.  Looking ahead, we feel confident that the revenues declined over the quarters to come will be lower than what we have seen in the first three quarters this year. More predictable revenues, combined with our cost optimization measures will help to mitigate the effects of declining volumes on our year-over-year profitability.  Turning to our other verticals, we saw good growth in our pre-media and our in-store marketing product offering, space in which we continue to pursue additional sources of revenues. Regarding our newspaper and magazine printing verticals, the decline in revenues follow the same trends as in previous quarters.  Now for our media activities, once again we are pleased with our results for the quarter. Our education group drove high revenues growth in the quarter and delivered double-digit EBITDA improvement versus last year.  Let me now say a few words about our sustainability initiatives. In addition to continue investing in R&D to ensure that plastic packaging is effectively managed of its end of life, an important part of our sustainability approach is to work in partnership with others to create a circular economy for plastic as we have done in the past for a circular economy for paper.  With that effect, we remain active with our discussions with stakeholders from across the plastic value change, as well as with elected after shows from the different government levels. On that note, I am pleased to announce that we have started to manufacture our new Publisac bags made from a 100% recycled plastic.  These new bags will remain a 100% recyclable and mark a first milestone in the creation of a circular economy for plastic in Quebec. They will be rolled out in the Montreal metropolitan community in a few weeks and everywhere in Quebec by the end of the year.  We would like to also point out that we have released this summer our latest three year corporate social responsibility plan titled, Acting Together, which puts down another marker in our sustainability journey by committing to a new set of specific and quantifiable targets.  Our 2019, 2021 plan features ambitious goals reflective of the ever evolving and growing environmental and social concerns.  Specifically, we set ourselves eleven meaningful objectives along four access, our people, our operations, our products and our communities including targets to reduce our environmental footprint. Those who have not already read our plan, I would like to invite you to check it out on our website.  In conclusion, in our Packaging sector, we will maintain a strong focus on manufacturing efficiency and make sure it’s put in place all the required elements to drive long-term growth. We expect the factors that impacted revenues in Q3 to continue in Q4. With that being said, we expect to see good organic growth next year and we remain committed to continue improving our adjusted EBITDA margin.  On the Print side, we expect to see in the fourth quarter the continuation of current trends, but to a lesser extent. Print revenues in Q4 combined with our cost optimization initiatives will contribute more going forward and help margins.  We will continue to proactively adjust our cost structure to volume trends and we remain confident that our Print sector will remain a strong cash flow generating business for years to come.  Finally, in terms of capital allocation, our top priority is to use our cash flow from operations to continue to deleverage the company.  With that, I’ll turn it over to Donald.
Donald LeCavalier: Thank you, François, and good afternoon. As you saw in our quarterly reports, our third quarter results reflect many of the same dynamics we experienced in the first half of the year. In the quarter, both our revenues and our adjusted operating earnings decreased by 4%, mainly due to the decline in our Printing business.  For our Packaging business, the combined adjusted EBITDA margin for the sector was 13.2% for the quarter, 100 basis point improvement versus last year. During the quarter, we benefited from cost optimization initiatives, acquisition synergies and lower resin price.  In terms of synergies, we continue to exceed the target set last year, mainly from procurement. In the coming quarters, we should start seeing savings from fin and plate insourcing and are confident to exceed our US$20 million of cost savings by May of next year.  Now, let me go over some of the elements that affected our profitability in the Printing sector. The organic decline in our revenues had a direct impact of $12.9 million on our adjusted operating earnings since our platform structural cost were somewhat flat compared to last year.  Note that this amount also include close to $3 million from the transitional service to Hearst, which ended in Q4 last year. In terms of cash, we had a good quarter for cash flows. We generated more than $64 million of free cash flow before interest and dividend. As planned, we use our free cash flow to repay debt which declined by $64 million during the quarter including the effect of the U.S. exchange rate.  We also distributed $19.2 million in dividend. Cash flow from operating activities improved by more than $13 million to about $90 million, net of $13 million of tax payment. We also allocated $26 million to CapEx and paid $18 million of interest expense. Our effective tax rate in the quarter was 19.2%, which is lower than the 25.8% rate last year. This is mainly due to the Coveris acquisition as we generated more pretax profit in the U.S. and other jurisdictions that had a lower tax rate than our Canadian operations.  At the end of the quarter, our net debt ratio stood at 2.7 times, down from 2.8 times at the end of Q2 and 3.8 times at the end of last year. I will also like to point out that if we include the sale of our Fremont building to Hearst, our pro forma ratio will stand at 2.5 times. We are looking at several asset monetization opportunities that could, like the sale of Fremont help us to accelerate the deleverage of our balance sheet without impacting long-term opportunities.  The additional liquidity in addition to strengthening our balance sheet will also provide flexibility to pursue opportunities in line with our transformation.  Now to our outlook for the fourth quarter of fiscal 2019. In our Packaging sector, we expect the decline of revenues in Q4 to be greater than in Q3. You may recall that Q4 last year was a strong quarter for packaging in terms of revenues.  Furthermore, the decrease comes from the same element we mentioned in Q3, lower volume in our Consumer and Pet Food segment, a legislative change having a temporary impact on our Latin America business and also impacted by the lower cost of some resins. We will continue to focus on synergies and manufacturing efficiency to drive our cost down.  In our Printing sector, we should see a continuation of current trends in most of our verticals including retailer-related service, but to a lesser extent for the fourth quarter. It’s important to note that we expect some of our cost reduction initiatives like the transfer of the Fremont presses and the closing of Brampton to contribute more meaningfully in the fourth quarter which should help our profitability.  We continue to anticipate growth in our in-store marketing product and book printing verticals. As François mentioned, we will continue to carefully monitor Print volumes and we will adjust our cost base accordingly in order to protect our profitability. We also expect in Q4, the last negative impact of our revenue and profitability of about $3 million related to transitional service that came in last year as part of the Hearst transaction.  But as we recently announced the sale of our Fremont building to Hearst, we will recognize an accelerated depreciation of deferred revenues and profit of about US$10 million in the fourth quarter. These different revenues will have been otherwise recognized until 2025 at around $2 million U.S. annually.  In the Media sector, we expect continued good performance in terms of revenues and profitability in 2019. For the 2019 P&L, assuming the stock price at the end of the quarter, you should model for full year corporate cost at EBITDA level of about $43 million.  As a reminder, a change of $1 in our stock price impacts our result by close to $1 million. Recall that we had a positive impact of the stock-based compensation expense of $13 million in the fourth quarter last year due to the share price movements. Our financial expenses are expected to be between $65 million and $70 million. Our effective tax rate is expected to be in the low to mid 20s range.  In terms of use of cash for the year, you can assume CapEx slightly above $100 million as for cash tax for the year, you can assume about $70 million.  To conclude, our priority is to deliver profitable long-term growth and create value for our stakeholders. In addition to our asset monetization initiatives, we expect to continue to generate significant cash flows which should enable us to allocate capital towards reducing our debt, strengthening our balance sheet and providing flexibility.  On that note, we will now proceed with the question period. 
Operator: [Operator Instructions] Your first question comes from the line of Mark Neville from Scotiabank. Please go ahead. 
Mark Neville : Hi, good afternoon. Maybe just the first question on Prints, the declines seen accelerate this quarter, so I am just curious is that specific to the same two customers that you spoke to earlier this year or is it now a bit more broad based with retail services?
François Olivier: No, it’s the same – it’s the same in our customers and basically why we feel more confident going forward this trend – this strategy of reducing their page count and all that started somehow in Q4 last year. It was unexpected, but it came.  So, when we look forward, we are looking at comparable that are a lot less difficult and we feel that those customers have cut to the level that is – I don’t think it’s sustainable for them to cut more, that’s what we feel anyway, because when we looked at their results in the market, there is certainly an impact on their business of using less flyers.  And some of them have started to push back again a little bit more and that’s one thing easier comparable and then the other thing is that we have now started to decrease our cost structure. So we are operating with a cost structure that in Q4 that it’s going to be more effective and then we are going to complete the shutdown of a huge factory we have in Ontario at the end of the year.  So, come Q1 and Q2 next year, the cost base will be further reduced. So that’s why we feel that the biggest impact of this is a little bit – is not going to get stickier going forward that it was in the first three quarters this year. 
Mark Neville : Okay. And some of the packaging, I am just curious, there is no legislative changes, maybe just what they were and why those would have only temporary impacts in the business? 
François Olivier: Yes, Transcontinental is the leader in helping banana producer in Central and South America to protect the crop with plastic bags that have a active ingredient in there and the ingredients that varies by regions, because the various disease and pest and moles expected to attack bananas.  So we are a very fortuned part of improving yields for farmers and one of the ingredients that is part of the – I would say the Iron Bags is the market leader has been banned by the European Legislation. Europe is a huge export country for our customers. And usually what happen when they do that, they give you a six month to a year delay to adjust and we were aware of that.  So we had already a product that we were working on that we were ready to introduce in the market next year for reasons that are beyond our expectation and our understanding in the one of our customer, they made that effective right away which forced our customer to move to a product that is less efficient and is a similar product with less ingredients.  But the value of that product for the customer and for our revenue is about 40% less. So, we didn’t lose business. We are selling the same number of units. But obviously our customers are not happy because those bags are not as effective for their yields and they are working very hard with us to have our new product approved by the authority.  You have to understand that every single government whether it’s Costa Rico, Honduras, Ecuador, they need to approve our new product. Our new product is ready. It’s been tested in the field, actually better than the product that is replaced. But we feel it’s going to take between three to six months to have our new product authorized by all these countries and by the European legislator.  And we one then, it’s actually going to be a growth for TC and actually better in the position we were in. But for the next six months, we are selling a product that yields about 3% less revenue for bag we sell because this is a bag with less ingredients in there. 
Mark Neville : Okay. I mean, I know you haven’t provided 2020 guidance. But, I guess, just given sort of this temporary impacts is, some of the declines you are seeing in the Consumer and Pet, presumably the first half of next year you are still seeing some organic declines in packaging and so you sort of lapped this or worked through this? 
François Olivier: Not really. Q4 was very strong last year, which mean Q1 was very soft. This year, Q4 is going to be more normal, which means Q1 will probably be better. So, we expect next year to have organic sales growth throughout the year and we expect our profit and our EBITDA margin to improve next year. So this is what our plans call for.  As you know this business, I’ve said it many times, this is not like printing flyers every week and printing newspaper every day were quarter to quarter the business is a little bit more predictable. This business you have some quarters that are fantastic and some others that are less because of the inventory and also the resin price.  When the resin price move up and down that tend to be a big part of what we sell to the customer. So, you have to factor that in when you look at organic growth. But, all in all, for next year, we are looking at organic growth on our sales and EBITDA improvement and margin improvement. 
Mark Neville : Okay, maybe I can just ask one last question, do you have some monetization opportunities? I am just curious if you can give us maybe an order of magnitude of how significant those could be, maybe not exact numbers but maybe just ballpark at first?
Donald LeCavalier: No, as you know, Mark, we had some few buildings in Canada that we own. Most of them are for print in Canada that we have for print is owned by us and we closed some of those plants in the recent years. So we have few buildings that we can monetize. Obviously not the same value of what we just announced for Hearst, but I will say maybe about 50% of what we have for Hearst and be achievable over the next few years for sure. 
Mark Neville : Okay. Thanks. I’ll get back in queue. Thanks. 
François Olivier: Thank you. 
Operator: Our next question will come from the line of Adam Shine of National Bank Financial. Please go ahead. 
Adam Shine : Thanks a lot. François, maybe just to elaborate on the earlier questions. On the Q2 call, you talked about the nature of packaging and Q4 revenues being relatively similar or potentially to the Q1 2020 revenues. And you alluded earlier to some of that dynamic. Given the nature of the legislation issue, does that sort of nuanced a little bit at least what Q1 2020 could look like based on your prior expectations or puts and takes contract wins sort of mitigate that out? 
François Olivier: Well, obviously Q1 for LATAM is not going to be great because of that. We don’t expect that to have all the sign up of all the various country. But LATAM is about 10% of our revenue. So, yes, we could be suffering there, but what we feel that the other 90% is going to perform good and in Q1, so, yes, it would have been better if LATAM would have not had that issue.  On the other hand when this thing is going to get approved, the whole market will want to grab that bag and then probably in Q3, Q4, you will probably see LATAM overperforming big time. So, yes, Q1 and Q2 might be affected by LATAM, but in perspective, LATAM is 10% of our revenue. So, that will have an impact. But that’s not 40% of our revenue it’s 10%. 
Adam Shine : Perfect. Understood. And just obviously, in regards to the objective of getting atl least or hitting 13% on exit F 2019, I mean do you want to have 13.2% in the Q3 and you talked earlier about the improvement quarter to quarter in regards to margin expansion in packaging this year.  When we get to Q4, and acknowledging perhaps a bit more pressure at the top-line, do we still think of potential margin expansion? Or is that sort of 13.2% maybe a bit of a high watermark for F 2019? And then obviously, you certainly build going forward at least on an annual basis into 2020 and 2021? 
Donald LeCavalier: Yes, very hard to give guidance over a quarter, but what I can tell you about Q4 is we expect Q4 margins to be better than last year, that’s for sure. And when we look over the next two years, we believe that we will be above the 13%.  You understand that our plan call for 13%, 14% and 15% over a two year period and then we believe that we have the ability in the quarters to come and if you look two years in front to continue to move in that direction. All right? It’s hard to comment quarter-by-quarter. But we feel pretty good about our ability to improve our margin in 2020 compared to what they were in 2019. 
Adam Shine : Okay. And maybe just turning to Publisac, I mean, lot of stuff over the prior months in terms of efforts on your part in terms of communicating I think with the government certainly you are before the provincial committee recently.  You launched the micro sites. Have you gotten any traction from the micro sites in regards to consumer support? I know, it’s very early days or probably two weeks into that process. But any additional color as to where your thinking is in regards to any potential momentum you are driving towards perhaps a resolution with the City of Montreal. Thanks. 
François Olivier: Yes, we feel pretty confident about this old filing. We spend a whole lot of time talking to government officials both at the municipal level and the provincial level and people now understand that the Publisac is a very responsible and useful product and they understand what it does for the retailer, for the consumer and for the weekly presses and Quebec that all these weekly papers will not exist without the Publisac.  So, I think we’ve made – shed a lot of light on what the Publisac is and not – and have a very favorable reception at all politician or in the legislators. And we feel pretty good about this issue being resolved. Having said that, we want to make sure too that the population understand. But the population understands, because 78% of the people in Quebec read the Publisac because they save about $1 acting on it every week.  So, we feel that this issue needs to go through a process that it needs to go through. But we feel very confident on the model of the Publisac and we’ve introduced – like I said in my remarks, a lot of improvement paper that is in the Publisac has made with waste and it’s fully recyclable.  And we’ve been able with our plastic division, flexible packaging division to create a bag for the Publisac that is fully made with waste as well and fully recyclable, not started to have us some conversation about creating a model for circular economy for plastic here in Quebec and we are talking about that with various government officials about creating that ecosystem in Quebec to start to recycle not only to Publisac.  But a lot of other plastic to create the same kind of circular economy we did create with paper, with plastic. So, that started with a lot of negative vibes, but now we have a lot of positive discussion that turn out to be positive for Transcontinental overall. 
Adam Shine : Okay. I’ll leave it there. Thank you very much. 
François Olivier: Thanks. 
Operator: Your next question comes from the line of Drew McReynolds of RBC. Please go ahead. 
Drew McReynolds : Yes, thanks very much. A clarification, Donald, just on the corporate cost guidance, I just missed the number. 
Donald LeCavalier: About $23 million EBITDA. 
Drew McReynolds : Okay. Thank you. On the long-term contracts within packaging, François, you have talked pretty regularly there, what your strategy is there and how down the road it certainly adds stability to the business. Are you able to comment on which of the large long-term contracts are from new versus existing customers? Maybe provide kind of that dynamic, as well as how the sales funnel is building from your perspective? 
François Olivier: Yes, this quarter, we were able to secure our number two customer. That’s still at five year left to his contract, but we talked about our sustainability vision. Our product offering in that vertical towards sustainability and what we were doing for the long-term and this customer decided to add five years to his existing contracts.  This is our second largest customer and now we have them for ten years in a vertical that we feel is it could offer a lot of growth for us. So that brings stability for us and stability to the customer and then we could work on long-term project together to improve the packaging in terms of the sustainability, run ability in their plant and shelf appeal.  So, we like that, because to get new customer is there is a sales cycle. So, that’s what we’ve done last quarter. We secured our second largest customer for the next ten years. But what I am quite pleased about is the type of discussion we have and why we are willing to commit themselves for ten years with Transcontinental.  So, it’s a testimony of our strategy. So that is positive. And yes, we have work in the last year on growing with new customers and some of that volume is going to come to us in 2020 and that’s why we feel that next year we are going to have organic growth something that we didn’t have this year.  But you have to understand this year that we looked at the portfolio and discover what we buy and then some customers were not really profitable and we have decided not to continue with that type of volumes.  So, that’s why you see our volume going down this year. But our margin and our profits going up and this is a combination of letting go of low margin business or in vertical that we feel are not long-term place we want to be and the effect of, like Donald mentioned of us having more synergies than what we have announced previously. 
Drew McReynolds : Okay. That’s all very helpful. Shifting to printing, just depending on what Q4 kind of shakes out. You may come in here in and around 20% EBITDA margin, not asking for specific guidance.  But I think in the past, you’ve been fairly confident that you can kind of stay in that 20% plus printing EBITDA margin range. Is that still something you target or feel is realistic, now that some of that higher margin Hearst numbers will be out of the equation? 
François Olivier: The answer is, yes. 
Drew McReynolds : Okay, all right. You don’t want to get more specific than that, François?
François Olivier: Well, we feel that a lot of the – like right now, this year, we have growth in the book segment. To my surprise, in Q3, the commercial volume was up. Like I mentioned on my comments, some of the people, some of the retailer were at the flyer is less central to their strategy have already started to cut in the last two years and they are at a level, I think that we cannot cut a lot further.  They’ve cut a lot, but these are people that are below our top 15 list of customers. So the impact to us is not meaningful and those who are in the top 15 was cut this year. I certainly felt this in their business and their results. And I think we anticipate that next year is going to be similar to this year, maybe better.  But what I know is that we are going to take a lot of cost out of the platform and that we control and I feel very confident about the cost that we have and we will take out. So when I look at that, all this cost is going into the margin.  So that’s why I feel the margins are going to improve. If I have not as much decrease of volume as I had this year and I have a cost base that is sustained – substantially lower, then all that translate into higher margins. That’s why they get. 
Donald LeCavalier: And ultimately, just to complete on that, you can see that orders from quarter to decrease in margin as lower. Now obviously it’s because the impact of San Francisco is no longer there and you need to take also that the paper price has an impact also on the margin.  And that isn’t something that we don’t control but there is a paper price that’s increasing over the last three quarters and that explains part of all the margins going down. So there is the deferred revenues that were not cashed and that the paper. So, overall, the decrease should be less in the future. 
Drew McReynolds : It’s great. Last one for me, within the other category, I think in your opening remarks, you alluded to a double-digit EBITDA growth I think in the quarter. Is – just given some of the moving parts in that business, what you are reporting this year?  Do you get at all to a point next year, subsequent years where you have tougher comps or do you see the growth in that segment as somewhat of a normalized or sustainable base to grow from going forward?
François Olivier: Yes, we have two businesses in Media, which is about $100 million of revenue and two-thirds of it is using school text book. We are clearly the market leader in this space. We have the ability to do tuck-in acquisition which we did this year.  And our team has been able over the years to take market share and to do small tuck-in acquisition and they’ve been steadily improving their profitability and we believe that this is still the look forward for the next two, three years, we believe that this strategy is still – we could still continue to follow that strategy.  In terms of the other third of the business, which is based on advertising. To my great surprise, these are specialty products, but this year is a fantastic year. We’ve grown in advertising both digitally and in paper and this division has a fantastic results. So, Media is overperforming. Our plan is overperforming last year.  But unfortunately, it’s only a $100 million of $3 billion of revenue, but they are having a fantastic year. Unless it’s harder to predict advertising going forward. But I feel pretty good about our educational business for the next three years. 
Drew McReynolds : That’s perfect. Thank you, François. 
Operator: [Operator Instructions] Your next question will come from the line of David McFadgen of Cormark Securities. Please go ahead.
David McFadgen: Hi, I was wondering if I can start-off with a couple of questions on Coveris. So given the packaging revenue is down about 3% in the quarter and given the relative signs of Coveris to the overall packaging business, is it safe to assume that Coveris revenue is also down around 3% in the quarter? 
François Olivier: Actually, I think Coveris was not down 3%. I think it’s more of the legacy DC business that is more down. But you could take that offline with Donald. He could share that with you. My comment is from my recollection, because now we tend to treat the business as one business.  So, we tend not to look at back because all these plans are mixed now for groups. So, I look at for vertical and they are all mixed. But I would say in the same zone, but maybe Coveris is a little bit better. But… 
Donald LeCavalier: Yes, Coveris was about 1% down. So, it’s from the legacy business that we suffer more. 
David McFadgen: Okay. And in the past, you’ve disposed the Coveris EBITDA margin, but you are able to do that for this quarter? 
Donald LeCavalier: Well I can give you a treat. I will give it to you for the last time, because we’re not of the Coveris activities. We are 13.8% this quarter. 
David McFadgen: I am sorry. Can you repeat that 13.8%?
Donald LeCavalier: Yes. 
David McFadgen: Okay. That’s quite good now. 
Donald LeCavalier: Well, it started at 11.9% last year of that 13.8% sort of a 2% improvement over the last six quarter and every single quarter, it moved from 11.9%, 12.1%, 12.2%, 12.8%, 13.8%. 
David McFadgen: Okay. 
Donald LeCavalier: The more we will go now, we operate this as one business. So there is job that we do – that we used to do in other plants. So, it’s – as François mentioned, I think the last time we were giving that details because it’s the type of platform, because we will put the job in the best plant in the future whatever it’s Coveris or legacy business. It’s one business for us now. 
David McFadgen: Okay. And then, just a comment on the outlook for the fourth quarter. You said that the decline in the overall packaging business is probably be little higher than Q3 and I was just wondering if we could get a little detail on that, say, let it be like something in the order of 4%? 
François Olivier: The same thing, like it’s the same impact, it’s some business that we are aware in the Pet Food segment and it’s the impact of the legislation in Europe in Banana. What is it going to turn out to be, I don’t want to comment but now we were 3.8% obviously it will be more.  But on a much – but we feel better about our profitability and our ability to have better margins that we had in Q4 last year and we are not going give guidance on quarter-to-quarter, especially not in that business. We are giving you direction and we got to leave it there. 
Donald LeCavalier: And then, as I said in my remarks, to start with Q4 last year was very strong, you’ll remember. So, the comparable was – it’s gotten the elements in Q3 will be the same in Q4. And the resin might be even higher the impact. So, it’s all that together that’s driven prices going down. 
François Olivier: So, our sales is going down. 
David McFadgen: Okay. 
François Olivier: Pass through. 
David McFadgen: Right. Okay, and then, Donald, just on the accelerated revenue and depreciation from, let’s say all the three month plan, you said it’s going to be about $10 million. Is that I am just wondering what the EBITDA’s impact is and I guess, probably separate those out to get the sort of a clear number. And you adjust the number we will… 
François Olivier: It will be what I call – I don’t know it’s the new terms, but it’s below the line and the old accounting way. So it’s going to be below the line in Q4 and it’s the remaining of the used deferred revenues that we had to account when we see the 200 and something million…
Donald LeCavalier: $200 million. 
François Olivier: $200 million at a time. Most of it was reversed when we sold back the contract to Hearst. But since we were staying owners of the building we had and it’s accounting rule that we might go online to get on that. But we have to keep part of this depreciate over the value of the term of the rent that we have with that. So, this is why we need to reverse it. So it’s … 
Donald LeCavalier:  $20 million Canadian, 10 U.S.. 
François Olivier: The $13 million of revenue additional. $13 million of EBITDA additional. Your purpose is accounting is just like you receive that money in 2014.
David McFadgen: Yes. 
François Olivier: Below the line. 
David McFadgen: Yes. Okay. Just to clarify. 
François Olivier: But in Q4, we have the – as I mentioned, the $3 million addition was there last year. So we are starting with minus three regarding that in the adjusted numbers. 
David McFadgen: Right. Okay. Okay, that’s it for me. Thank you. 
François Olivier: Thank you, David. 
Donald LeCavalier: Thank you, David. 
Operator: Mr. Lapointe there are no further questions at this time. Please continue. 
Yan Lapointe: All right, thank you, Gabriel and thanks to everyone for joining us on the call we look forward to speaking to you. 
Operator: Ladies and gentlemen, this concludes the conference call for today. Thank you for participating. Please disconnect your lines.